Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2016 NiSource Earnings Conference Call. At this time, all participants are in a listen-only mode. As a reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Mr. Randy Hulen. Sir, you may begin.
Randy G. Hulen - Vice President-Investor Relations: Thank you, and good morning. On behalf of everyone at NiSource, I'd like welcome you to our quarterly analyst call. Joining me this morning are Joe Hamrock, Chief Executive Officer; and Donald Brown, Chief Financial Officer. The purpose of today's call is to review the NiSource financial performance for the first quarter of 2016, as well as provide an overall business update on our utility operations and growth drivers. We'll then open up the call to your questions. Just as a reminder, we will be referring to supplemental earnings slides that are available on our website. Before turning the call over to Joe, just a quick reminder that some statements made on this conference call will be forward-looking. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in the statements. Information concerning such risks and uncertainties is included in the MD&A and Risk Factors sections of our periodic SEC filings. With all that covered, I'd like to now turn the call over to Joe.
Joseph J. Hamrock - President, Chief Executive Officer & Director: Thanks, Randy. Good morning, everyone, and thanks for joining us. As we'll detail on today's call, NiSource is off to a great start in 2016. Our first quarter results reflect the strength of our regulated business strategy and sustained track record of delivering improved service for our customers through our utility investment programs. We continue to execute on our infrastructure investment strategy, which is designed to improve safety, reliability and environmental performance for our customers and communities. NiSource also made significant progress on several regulatory initiatives supporting these investments, as well as enhanced employee training and customer programs. Today, we'll briefly cover our first quarter 2016 results before discussing specific operational and regulatory highlights. We'll also touch on how we're positioning NiSource for continued growth before opening the call for your questions. Turning to slide three of our supplemental deck, let's now highlight a few key takeaways for the quarter. The NiSource team delivered non-GAAP net operating earnings of $0.60 per share in the first quarter compared to $0.57 in the same period in 2015. We are well positioned to deliver non-GAAP net operating earnings within our 2016 guidance range of $1 to $1.10 per share. And with a strong start to the construction season, we're on track to execute on more than $1.4 billion in utility infrastructure investments planned for the year. Violet Sistovaris and our NIPSCO team reached settlement agreements with key stakeholders in both its electric base rate case, and its long-term electric infrastructure modernization plan. And our Columbia Gas teams led by Carl Levander filed base rate cases in Maryland, Pennsylvania and Virginia. And we received regulatory approval of gas system modernization plan updates in Indiana, Massachusetts and Ohio. On the organizational front, we announced changes aimed at further advancing our growth plan and enhancing performance. Pablo Vegas joined NiSource today as President of our Columbia Gas group. He will oversee the six Columbia Gas companies, including leadership of state regulatory, customer, and stakeholder performance, as well as customer service, billing and new business platforms for all seven NiSource companies. Pablo most recently served as President and Chief Operating Officer of AEP Ohio. With Pablo's appointment and the planned retirement of our Human Resources Leader, Rob Campbell, Chief Regulatory Officer, Carl Levander, assumes the role of Executive Vice President, Regulatory Policy and Corporate Affairs, which includes responsibility for Policy, Corporate Communications, Federal Government Affairs, Regulatory Strategy and Human Resources at NiSource. I'll talk more about the significant progress across all our businesses later in the call, but first I'd like to turn the call over to Donald to review our financial results in more detail, which are highlighted on page four of our supplemental slides. Donald?
Donald E. Brown - Executive Vice President, Chief Financial Officer & Treasurer: Thanks, Joe. And good morning, everyone. As Joe mentioned, we delivered non-GAAP net operating earnings of about $191 million or $0.60 per share in the quarter compared with about $179 million or $0.57 per share in the first quarter of 2015. On an operating earnings basis, NiSource reported about $399 million for the quarter, which is an increase of about $35 million over the first quarter of 2015. On a GAAP basis, our income from continuing operations was about $180 million for the quarter versus about $193 million in the first quarter of 2015. Now, let's take a closer look at the operating earnings performance of our two utility business segments for the first quarter of 2016. Our gas distribution operation segment delivered about $330 million compared with about $306 million in 2015. Net revenues excluding the impact of trackers were up by nearly $35 million, primarily attributable to increases in regulatory and service program, including the impact of new rates in Massachusetts and Pennsylvania, as well as the implementation of new rates under Columbia Gas of Ohio's approved infrastructure replacement program. Operating expenses, excluding the impact of trackers, increased by $10.3 million, primarily due to increased outside service costs and higher depreciation. Our electric operations reported about $72 million compared with about $67 million for 2015. Net revenues, excluding the impact of trackers, were essentially flat. Operating expenses, excluding the impact of trackers, decreased by $4.8 million, primarily due to lower generation expenses, decreased employee and administrative costs and lower environmental expenses. These decreases were partially offset by higher outside service costs. As Joe mentioned, our first quarter results positioned NiSource well to deliver net operating earnings within our guidance range of $1 to $1.10 per share for the year. Full details of our results are available in our earnings release issued and posted online this morning. Now turning to slide five, I'd like to briefly touch on our debt and credit profile. Our debt level as of March 31 was about $7 billion, with a weighted average maturity on long-term debt of approximately 14 years and a weighted average interest rate of approximately 5.72%, down from 5.88% at the end of 2015. On March 31, we executed a three-year, $500 million term loan agreement with pricing of LIBOR plus 95 basis points. In utilizing the delayed draw feature, we have until the end of September to borrow the full $500 million. At the end of the first quarter, we maintained net available liquidity of more than $1 billion, consisting of cash and available capacity under our credit facilities. And our credit ratings at the three major agencies remain solidly investment grade, something we remain committed to as we continue to execute on our $30 billion and 100% regulated infrastructure investment opportunities. Going forward, our financial foundation is strong employees for continued execution and growth. Now, I'll turn the call back to Joe to discuss a few customer, infrastructure and regulatory highlights across our utilities.
Joseph J. Hamrock - President, Chief Executive Officer & Director: Thanks, Donald. We began 2016 by building upon the positive momentum that we've gained in recent years in maintaining our sharp focus on serving our customers and communities. For instance, in March, we became a founding member of the U.S. EPA's Natural Gas STAR Methane Challenge Program. Through our five-year program commitment, NiSource will continue to replace cast iron and bare steel pipelines remaining in our natural gas system. Since 2005, we've reduced our greenhouse gas emissions by 23%. As part of our planned investments, we expect to further reduce methane emissions by more than 300 million cubic feet, a reduction of 10% compared to 2015. In addition to helping reduce emissions, our well-established infrastructure modernization programs are producing other meaningful benefits and adding value for our customers. For example, we have reduced gas leaks on our mains by 9%, and by 14% on our service lines over the past five years. This builds on the safety and reliability of our system. And we have continued to receive recognition for doing business the right way. In March, NiSource was named for the fifth consecutive year as one of the World's Most Ethical Companies by the Ethisphere Institute. Ethisphere honors companies for leading and promoting ethical business standards in key categories, which include ethics and compliance programs. This designation demonstrates our commitment to serving our customers with integrity and the highest of ethical business standards. Now, let's turn to a few recent highlights in our gas operations on slide six. On March 18, Columbia Gas of Pennsylvania filed a request with the Pennsylvania Public Utility Commission to adjust its base rates in support of the company's continued upgrades and replacement of infrastructure, and other programs to enhance pipeline safety. If approved as filed, the case would result in $55 million annual revenue increase. An order is expected by the end of 2016. On April 20, the Public Utilities Commission of Ohio approved Columbia Gas of Ohio's annual infrastructure replacement rider. The rider provides for continued support of the company's well-established pipeline replacement program investments. This order authorizes an increase of about $21 million in annual revenue related to 2015 infrastructure investments of about $185 million. At NIPSCO gas, the team continues to execute on its seven-year, approximately $800 million long-term gas system modernization program to further improve system reliability and safety. On March 30th, the Indiana utility regulatory commission or IURC approved the semi-annual tracker update that was filed in August 2015 with additional revenues of $7.6 million, which covered approximately $74 million of investments through mid-2015. NIPSCO filed its latest semi-annual tracker update on February 29th, which remains pending with the IURC. On April 29, Columbia Gas of Virginia filed a request with the Virginia State Corporation Commission to adjust its base rates to recover investments and other costs associated with the company's ongoing initiatives to improve the overall safety and reliability of its distribution system and to accommodate increasing demand for service. If approved as filed, the case would result in an annual revenue increase of $37 million. A commission decision is expected by early 2017. A decision on Columbia Gas of Massachusetts' 2016 Gas System Enhancement Plan was issued by the Massachusetts' Department of Public Utilities on April 29th. This approval allows for a recovery of investments through 2016 and will increase annual revenues by approximately $8.2 million beginning May 1st. On April 15th, Columbia Gas of Maryland filed a request with the Maryland Public Service Commission to adjust its base rates so it can support the continued replacement of aging pipe, as well as adopt pipeline safety upgrades. If approved as filed, the case would result in an annual revenue increase of approximately $6.5 million. A commission order is expected by the end of 2016. And finally, Columbia Gas of Kentucky, on April 27th, filed notice with the Kentucky Public Service Commission that it intends to file a request to adjust its base rates to support continued infrastructure investments. Now, let's turn to our electric operations on slide seven. On March 24th, NIPSCO reached a settlement agreement with the Indiana Office of Utility Consumer Counselor, industrial customers, the La Porte County Board of Commissioners and the Indiana Municipal Utility Group on the company's seven-year electric infrastructure modernization plan. This plan includes more than $1.2 billion of transmission and distribution investments designed to improve system safety and reliability. An IURC order on the settlement is anticipated in the third quarter of 2016. NIPSCO also reached an agreement in its electric base rate case currently pending before the IURC. The February 19 settlement provides a platform for NIPSCO's continued investments in service improvements for customers. The proposed settlement agreement would increase annual revenues by $72.5 million. An IURC order is anticipated early in the third quarter of 2016. NIPSCO's two major electric transmission projects remain on schedule with anticipated in-service dates in the second half of 2018. The 100-mile 345KV and 65-mile 765KV projects are designed to enhance region-wide system flexibility and reliability. Right-of-way acquisition, permitting and engineering are well underway on both projects. NIPSCO expects to provide updated project cost estimates prior to the commencement of line construction later this year. Before opening the call to your questions, I'd like to touch on our financial and growth commitments as well as how we're positioning NiSource for continued growth. NiSource remains on track for sustained execution on the more than $30 billion of long-term regulated utility investments the company outlined in 2014. As we've outlined previously, we expect to deliver net operating earnings per share of $1 to $1.10, and to make more than $1.4 billion in planned infrastructure investments in 2016. This 2016 earnings and investment guidance provides the starting point for NiSource's long-term annual earnings per share and dividend growth projections of 4 to 6%, which we first announced a year ago in anticipation of the separation of Columbia Pipeline Group. As we execute on our well established plans, we're aligning our organization to capitalize on all of our strategic opportunities, including our infrastructure investment plans, while at the same time looking at enhancements to our plan such as growing our customer base, improving service to our customers and driving enhanced performance through the increased use of common platforms. These emerging elements of our plan are expected to enhance our existing best-in-class risk-adjusted total return proposition. Thank you all for participating today and for your ongoing interest and support of NiSource. We look forward to sharing continued updates on our progress. Now let's open the call to your questions. Skyler?
Operator: Thank you. And our first question comes from the line of Greg Gordon from Evercore. Your line is now open.
Greg Gordon - Evercore Group LLC: Thank you.
Joseph J. Hamrock - President, Chief Executive Officer & Director: Good morning, Greg.
Greg Gordon - Evercore Group LLC: Yeah. Good morning, guys. Happy to finally be covering the stock.
Joseph J. Hamrock - President, Chief Executive Officer & Director: Yeah. Welcome to the fold.
Greg Gordon - Evercore Group LLC: I wish I had been quicker on the uptake and got all the outperformance the last couple of years, but so be it. So I've asked you this question before and I just wanted to ask it again. Obviously, the performance in the quarter was great and you've got $1.4 billion in capital still in the budget – vast majority of it covered by riders. And you've got this sort of 4% to 6% long-term earnings guidance drive out there, but the rate base growth guidance range is 6% to 8%. Obviously, that's very enticing because there seems like there's a lot of cushion in there. But you first gave that well before the bonus depreciation rules were extended for five years, so can you tell us about how that may have moved things around inside the guidance range? It still seems like you're well positioned to, at the minimum, hit the high end of the earnings guidance range. But maybe the rate base growth is less robust because of bonus d and what you might do to offset that?
Joseph J. Hamrock - President, Chief Executive Officer & Director: Yeah. Thanks, Greg. And it's a fairly common question, as you noted. I'll ask Donald to touch on the bonus and the relative impact on rate base and how we're navigating through that. But let me take this, sort of, the higher level question about the relationship between our outlook, our guidance and our business plan. We think and firmly believe that one of the strengths of the NiSource story is the long-term visibility, the sustained investment platform we have that we outlined as we noted a couple of years ago with the $30 billion in investment. As we look through the future and the strong support we have across all seven states for those kind of investments, that's a great engine for driving growth, the visibility. And I wanted to be sure that we've put out a fairly long-term look at earnings guidance in that 4% to 6% annual growth range. We remain committed to that. As we've noted before, the relationship between investments and rate base that are tracked, the ongoing support for those investments, is offset in some ways and a couple of ways by regulatory lag, continued O&M growth that gets picked up in rate cases that don't have quite the same effect as the trackers have. A bit of conservatism in our outlook. And then over the long-term, the need to finance that in a balanced way. That story remains the same today. I will ask Donald to touch on the effect of bonus. As we've noted, our guidance remains the same for the year, and our growth guidance remains the same. A little bit of insight about the relationship of bonus depreciation would be helpful.
Donald E. Brown - Executive Vice President, Chief Financial Officer & Treasurer: Yeah. And so think about the bonus depreciation on our rate base. It certainly has a detrimental impact over our plan years, and we typically look out four to five years. And so what we've done to offset that is to increase our capital spend a little bit over the next couple of years to offset the impact of the rate base. But then when you look at it over a four- or five-year period, we actually do have positive cash flows through the period. If you'll remember, we've got NOLs that before this extension of bonus depreciation went out through 2018. With this extension of bonus depreciation, our NOL will now go out to the end of 2022. So from a cash standpoint is the detriment early with the bonus depreciation because of the NOL position. But on the back end of the years, we do have a cash pickup. And so with the cash, we'll spend in the next couple of years to offset the rate base degradation, we'll come out slightly ahead over kind of a five- or six-year period. So I think all in all, we're looking at staying within that range. It doesn't challenge our earnings growth story. And at the same time, I think as Joe talked a little bit about conservatism, we understand we're in multiple rate cases at any time. There's certainly some risk from amount realized, as well as just the timing of when rates go into effect. And so trying to balance out the understanding of the risks of both the kind of regulatory mechanisms, as well as kind of O&M, which doesn't go into the trackers. We feel confident we'll certainly be in the range, but obviously have some opportunities, if everything goes the right way to be at the higher end of the range.
Greg Gordon - Evercore Group LLC: Fantastic. Thanks, guys. Take care.
Joseph J. Hamrock - President, Chief Executive Officer & Director: Thanks, Greg.
Operator: Our next question comes from the line of Larry Liou from JPMorgan. Your line is now open.
Larry Liou - JPMorgan: Hey, good morning, guys. Thanks for taking my question. I just wanted to walk through the decision process on the term loan. Was it more economically driven or was it more so of a flexibility decision when it comes to kind of call provisions on term loans?
Joseph J. Hamrock - President, Chief Executive Officer & Director: I'd say it's both. When we're looking at the need for this year and looking at what are our different options, really did want to take advantage of the low interest rate environment and the interest savings that provided, as well as making sure we've got kind of a full toolkit for financing our company going forward. So I'd say it's a little bit of both. And I think, going forward, we'll look at both the bond market, as well as taking advantage of the bank market in term loans.
Larry Liou - JPMorgan: Got you. And can you just remind us what are your financing needs? I know I think you paid down the rest of your 10% handle that remained outstanding.
Joseph J. Hamrock - President, Chief Executive Officer & Director: Yeah. So this year I would expect that we wouldn't have any significant financing needs. This term loan, which we took out. We haven't actually tapped into yet and won't tap into until later this year. But I don't expect anything significant this year. But certainly, we're always looking at our portfolio. We do have some higher cost debt in the portfolio and still looking for opportunities to bring down our overall cost of debt. If the market and the timing makes sense, we would do that as well.
Larry Liou - JPMorgan: Okay, thank you.
Joseph J. Hamrock - President, Chief Executive Officer & Director: Thanks, Larry.
Operator: Our next question comes from the line of Charles Fishman from Morningstar. Your line is now open.
Charles Fishman - Morningstar Research: Thank you. Just to follow up on that bonus depreciation question. I noticed, Joe, in your introductory comments, I believe you said CapEx for 2016 more than $1.4 billion, where I believe last quarter it was approximately $1.4 billion. Is that consistent with Donald's comments about the accelerating CapEx because of the cash flow benefit from bonus depreciation?
Joseph J. Hamrock - President, Chief Executive Officer & Director: Yeah. Thanks, Charles, and good morning. That's very perceptive. It's entirely consistent. There's not a big shift in the 2016 – Donald's comments related to the near-term years of the plan to offset the NOL issues and to help with the outer years of the plan on an earnings standpoint. But it's all around the $1.4 billion, as we've navigated through the 2016 planning cycle.
Charles Fishman - Morningstar Research: Okay. And then my next question is on the case or the settlement on the electric modernization program. Does that – are we done? Does that pretty much eliminate any of the excitement that we've seen – regulatory and legal? I mean, are you pretty confident we're on the...
Joseph J. Hamrock - President, Chief Executive Officer & Director: We're confident that – yes, I'm sorry. I like your term excitement. But we're confident that we've got a framework vis-à-vis the settlement that we've filed. We are still in the regulatory process. So we still have the remaining steps through the regulatory process that we would expect to resolve early in the third quarter this year, but feel very good about the position we're in and we've remained committed to making those investments. So that's all part of the framework that we've set up.
Charles Fishman - Morningstar Research: Okay, thank you. That was all I had.
Joseph J. Hamrock - President, Chief Executive Officer & Director: Thanks, Charles. Have a great day.
Operator: Our next question comes from the line of Paul Ridzon from KeyBanc. Your line is now open.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Good morning. Congratulations on another solid quarter.
Joseph J. Hamrock - President, Chief Executive Officer & Director: Good morning, Paul. Thank you.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Just with bonus depreciation, what's your current view on when you may need to come back for some equity?
Joseph J. Hamrock - President, Chief Executive Officer & Director: We don't see any real shift at this point in our outlook relative to bonus. We continue to not see a need for equity in the near term of the plan. And as you would guess with bonus, that didn't change at all. We continue to look at our total plan, including CapEx, dividend policy and the ultimate need for equity. But at this point, not ready to change our outlook on any of those factors.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: And then strategically, it seems like a lot of large cap electrics kind of want to get some gas exposure. How are you thinking about the opportunity there?
Joseph J. Hamrock - President, Chief Executive Officer & Director: Well, we remain committed to our plan. As we've watched that play out, we look at our plan and don't really need M&A to drive our opportunities going forward. Very focused on. As we've talked about at length today, the capital investments and the regulatory cadence that we've set up in our plan, and certainly don't see M&A as a part of that strategy. That said, with anything that would be compelling being introduced into the mix, we'd certainly take a look at that.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: Certainly you don't need the growth opportunity, but maybe there's some players out there who could use your opportunities.
Joseph J. Hamrock - President, Chief Executive Officer & Director: I'm sure that's fine.
Paul T. Ridzon - KeyBanc Capital Markets, Inc.: All right. Thank you very much.
Joseph J. Hamrock - President, Chief Executive Officer & Director: Thanks, Paul.
Operator: And our next question comes from the line of Greg Gordon from Evercore. Your line is now open.
Greg Gordon - Evercore Group LLC: Yeah, guys, I had a follow-up question. It's on a completely different subject. I'm looking at the NEXUS pipeline project that's being jointly built by Spectra and DTE. And in their first quarter slide deck, slide 25, they show the path of that pipeline going through your service territory in Ohio and sort of a massive amount of interest – interconnect agreements of up to 1.75 Bcf a day. And some of the names of your gas utilities are very prominent on that list. Can you talk about your needs for incremental gas supply and how likely it is that you'd be taking gas off the NEXUS pipeline and in what amounts?
Joseph J. Hamrock - President, Chief Executive Officer & Director: Yeah, Greg, that's something we keep an eye on but not something that we're actively interested in and involved in at this point, and a good position on capacity in the Midwest. More of our focus these days is in New England and Massachusetts. As you know, we have a position in the Northeast Direct Pipeline project. So a lot of focus there on how to ensure that we have what we need up there. We, though, will continue to keep an eye on the Midwest. And if we see an opportunity, we'll certainly participate.
Greg Gordon - Evercore Group LLC: Okay. So you're definitely interested in capacity on the pipes going into New England. And this is more of a wait-and-see situation?
Joseph J. Hamrock - President, Chief Executive Officer & Director: Yeah, a more – that's a good way to characterize it. Again, if we see an opportunity there that makes sense, we'll certainly take advantage of that.
Greg Gordon - Evercore Group LLC: Okay. And what's the timeline that you would normally, seriously consider a formal interconnect agreement on a new pipe? You would wait for that pipe to be sort of firmly under construction before you would have a serious conversation with them? I'm not that familiar with the process there.
Joseph J. Hamrock - President, Chief Executive Officer & Director: Yeah, typically there's an open season upfront. We participate in that, express interest. That usually precedes any actual construction. So we'd be ahead of that curve to help underpin the fundamentals for the project itself. But that's not always the case. Sometimes there's opportunistic second pass, third pass opportunities to take advantage of a new project. So it really varies depending on our supply/demand balance, our existing contracts and the growth opportunities in that region. So I don't think there's a precise recipe that applies in all cases.
Greg Gordon - Evercore Group LLC: Well, yeah, this would be a second or third pass-type deal because they did their open season, they're 65%, 66% contracted, 50% with LDCs up a bit top end of the pipe, the other 50% of that is producers. And then they've been talking about the potential for incremental interconnect agreements along the length of the pipe. So am I right to say that that would be a second or third pass-type of deal?
Joseph J. Hamrock - President, Chief Executive Officer & Director: Yeah, I want to be careful that my general comment there is not characterizing a specific project or specific interest. This is an area we continue to look at. But on that specific project, I'm not providing any specific outlook on our participation at this point.
Greg Gordon - Evercore Group LLC: Okay, thanks.
Joseph J. Hamrock - President, Chief Executive Officer & Director: Thanks, Greg.
Greg Gordon - Evercore Group LLC: Can't hurt to try. Thank you. Bye.
Operator: At this time, I'm showing no further questions. I would like to turn the call back over to Joe Hamrock for any closing remarks.
Joseph J. Hamrock - President, Chief Executive Officer & Director: Thank you, Skyler. And let me, again, express our appreciation for your participation and interest today, and ongoing interest in the NiSource story. Please have a great day. Thank you very much.